Operator: Hello, and welcome to the Janus International Fourth Quarter and Full Year 2024 Earnings Conference Call. Currently, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would like to now turn the call over to your host, Ms. Sara Macioch, Senior Director of Investor Relations for Janus International Group, Inc. Thank you. You may begin, Ms. Macioch.
Sara Macioch: Thank you, operator. And thank you all for joining our earnings conference call. I am joined today by our Chief Executive Officer, Ramey Jackson, and our Chief Financial Officer, Anselm Wong. I hope that you have seen our earnings release issued this morning. We have also posted a presentation in support of this call which can be found in the Investors section of our website at janusintl.com. Before we begin, I would like to remind you that today's call includes forward-looking statements. Any statements made describing our beliefs, plans, expectations, projections, and assumptions are forward-looking statements. The company's actual results may differ from those anticipated by such forward-looking statements, for a variety of reasons, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission which identify the principal risks and uncertainties that could affect our business prospects and future results. We assume no obligation to update publicly any forward-looking statements and any forward-looking statement made by us during this call is based only on information currently available to us and speaks only as of the date when it was made. We will be discussing or providing certain non-GAAP financial measures today including adjusted EBITDA, adjusted EBITDA margin, adjusted net income, and adjusted EPS. Please see our release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. On today's call, Ramey will provide an overview of our business, Anselm will continue with a discussion of our financial results, and introduce our 2025 guidance. Before Ramey shares some closing thoughts and we open up the call for your questions. At this point, I will turn the call over to Ramey.
Ramey Jackson: Thank you, Sara. I'd like to kick off my comments today by thanking the entire Janus International Group, Inc. team for their hard work and professionalism, which has allowed us to showcase the resilience of our business model against a difficult backdrop. 2024 proved to be a challenging year for the business, as macroeconomic concerns and sustained high interest rates impacting liquidity caused many of our customers to adjust project timing beginning late in the second quarter. Through it all, we have remained focused on what we can control, which is the safety of our employees and the reliability, quality, and service that sets Janus apart with our customers. We had a busy year in 2024 with a number of milestones, new offerings, and expansions of the Janus footprint. On the self-storage side, we introduced both the Nokē ION and inside the door magnetic hardwired smart locking system that is the next generation of our Nokē smart entry solution and the NS door series, which includes two new roll-up door solutions engineered to provide a heightened level of safety and security for self-storage facilities. At our asset division, we introduced two new high-performance door security and seamless fast-moving operation. We acquired the assets of TMC, a premier provider of terminal maintenance services and solutions for the LTL trucking industry, primarily in the southeastern United States, and it's already contributing favorably to our results. Additionally, we opened two new distribution centers, one in Mount Airy, North Carolina, and one in Ontario, Canada. During 2024, we voluntarily paid down $21.9 million of first lien term loan and then successfully repriced the term loan to SOFR plus 250, an improvement of 50 basis points. We received upgrades of our credit ratings from both S&P and Moody's and repurchased 7.1 million shares under our $100 million share repurchase program, leaving $21.3 million of authorization remaining at year-end. As outlined on our last call, we have taken steps to better align the business with near-term market realities. This includes a structural cost reduction plan that involves streamlining the labor force, rationalizing our real estate holdings, and reducing SG&A expenses. The plan is on track, and we have already begun seeing the benefits. We now expect to realize $10 million to $12 million of annual pretax cost savings. Anselm will get into the details of the quarter in a moment, but first, I'd like to make a few high-level comments on our full-year results. For the full year 2024, on a combined basis, self-storage was down 9.3% as a 5.4% increase in our new construction sales channel was more than offset by the 26.6% decline in R3. While new construction was particularly strong in the first quarter of 2024, the delays that began during the second quarter impacted the full year. R3 continues to be impacted by declines in retail storage conversion activity, as well as delays that have impacted self-storage activity. Commercial and other was off 10.3% for the year. Results reflected weakness in demand for carports and sheds, partially offset by the acquisition of TMC in May. Nokē, our innovative suite of remote access solutions, ended the year at 365,000 installed units, an increase of 32% from 2023. The rollout of Nokē ION in the early fourth quarter was met with enthusiasm from our customers, and with its unique and flexible customization capabilities and updated pricing structure, we anticipate continued demand for Nokē ION in 2025 and beyond. Despite a challenging macroeconomic backdrop, we maintained a strong balance sheet with leverage in our target range, while also generating outstanding free cash flow conversion to adjusted net income. As a result, we have the balance sheet strength to grow both organically and acquisitively as the market normalizes. As the industry leader in self-storage solutions, we are well-positioned to capitalize on opportunities as the macro environment improves and create long-term value for all of our stakeholders in 2025 and beyond. With that, I'll turn the call over to Anselm for a further overview of fourth-quarter results, along with our initial 2025 guidance.
Anselm Wong: Thanks, Ramey, and good morning, everyone. Ramey covered our full-year results at a high level, and I will focus my comments on our fourth-quarter performance followed by a discussion of our initial 2025 guidance. In the fourth quarter, consolidated revenue of $230.8 million was off 12.5% as compared to the prior-year quarter, with declines across all three sales channels. Our self-storage business was down 17.3% for the quarter with new construction down 6.2% as we continue to see the impact from delays that began earlier in the year. R3 was up 31.2% driven by continued declines in retail to storage conversion activity as well as slowdowns in redevelopment and renovation activity. Our commercial and other segment saw a 1% decline in the fourth quarter driven by continued weakness in demand for carports and sheds mostly offset by our TMC acquisition. For the quarter, the impact to organic revenues was driven roughly 10% by price and 90% by volume. Fourth-quarter adjusted EBITDA of $34.6 million was up 53.4% compared to the year-ago quarter. This represents an adjusted EBITDA margin of 15% compared to 28.2% in the prior-year quarter. The decline in profitability is primarily the result of volume decreases. We also had an additional adjustment to our provision for credit losses and an additional warranty reserve in the quarter. Excluding these two adjustments, the fourth-quarter adjusted EBITDA margin was approximately 19%. In the fourth quarter, we reduced adjusted net income of $7.7 million or $0.05 compared to the $35.9 million or $0.24 in the year-ago period. For the full year, we generated cash from operating activities of $154 million including $51.4 million in the fourth quarter, continuing to demonstrate the robust cash generation profile of the business. For the full year, we generated free cash flow of $133.9 million. This represents a free cash flow conversion of adjusted net income of 163%. We finished the year with $231.3 million of total liquidity including $149.3 million of cash and equivalents on the balance sheet. Our total outstanding debt at the year-end was $583.2 million and our net leverage was 2.2 times. The combination of strong liquidity, continued cash generation, and balance sheet strength offers us optionality to pursue M&A targets and continue to execute on our $100 million share repurchase program, which has $21.3 million of remaining authorization. As Ramey mentioned earlier, the structural cost reduction plan we announced on the third-quarter earnings call is on track and we are already seeing benefits. We now estimate the annual pretax savings to be in the range of $10 to $12 million, updating from our prior estimate of $8 million to $12 million. We booked $1.1 million in one-time charges during the fourth quarter of 2024 associated with the plan, and now expect total one-time charges in the range of $3 to $4 million compared to a previous estimate of $2 to $4 million. Now moving to our 2025 guidance. Full-year 2025 revenue is expected to be in the range of $860 million to $890 million compared to $963.8 million in 2024. We expect the first half of 2025 to be slower than the back half. While growth in new construction has outpaced R3 over the last few years, in 2025, we expect our customers to shift their focus towards R3 projects. As a reminder, the margin profiles for new construction and R3 are similar so we are agnostic about moves between the two sales channels. We foresee some continued softness in new construction in 2025, particularly in the first half of the year as we work through customers extending project timelines and a tough comp for the first quarter. The year-over-year decline in top-line revenues reflects the unfavorable impact of previously announced commercial actions. 2025 adjusted EBITDA is expected to be in the range of $175 million to $195 million compared to $208.5 million in 2024. At the midpoint, this reflects an adjusted EBITDA margin of 21.1%. Consistent with our expectations for revenue, we expect the first half of 2025 to be softer than the back half for EBITDA and EBITDA margin. As I mentioned earlier, fourth-quarter EBITDA was affected by some one-time items, and we expect margins to improve sequentially in the first quarter. Cash flow remains robust and for 2025, we anticipate being near the higher end of the free cash flow conversion of adjusted net income target range of 75% to 100%. Please refer to the presentation we have posted for details on the key planning assumptions. Thank you. I will now turn the call over to Ramey for his closing remarks.
Ramey Jackson: Thank you again, Anselm. Despite the challenges of 2024, we introduced several new product lines including Nokē ION and the NS Door series, and we completed the acquisition of TMC. We also continue to achieve our net leverage and free cash flow conversion to adjusted net income targets and importantly, our long-term framework remains unchanged. Strong occupancy rates continue to fuel demand, and we believe the long-term fundamentals for the self-storage industry are intact. Additionally, we estimate more than 60% of existing self-storage facilities are over 20 years old, which creates the potential need for replacement and refurbishment of the aging installed base. We are the industry leader in self-storage offering purpose-built, diversified, and ever-evolving solutions for our customers. With our balance sheet strength and strong cash flow foundation, we will continue expanding our suite of offerings and capabilities while seeking out and delivering accretive shareholder value-enhancing opportunities. I look forward to building positive momentum in 2025 and beyond, as we drive long-term value creation for all of our stakeholders. Thank you again for joining us. Operator, we can now open the line for Q&A.
Operator: Thank you. At this time, we will open the floor for questions. Our first question will come from Jeff Hammond with KeyBanc Capital Markets.
Jeff Hammond: Hey. Good morning, everyone. This is David Tarantino on for Jeff. Hey, David. Maybe just to start in self-storage, could you walk us through your thoughts more specifically on the key changes in the pipeline of projects and kind of break that out between new construction and R3 and how that informs your thoughts on 2025?
Ramey Jackson: Sure. Great question. I think if you look at it, what we're seeing is as expected and guided, is that the new construction is, while still there, slowing a little. We're starting to see R3 starting to pick up a little, which is kind of what we normally expect when we see that change. In terms of slowing down new construction. So that's what we're slowly seeing right now. It's not, you know, construction is still pretty healthy in terms of what's in there, but that's what we're slowly starting to see now.
Jeff Hammond: And maybe just to kind of clear that up, would you expect incremental weakness on the new construction side relative to what we're seeing in 4Q or more of a steady state?
Ramey Jackson: No. That's a that we would see still some slowness in destruction that's kind of built into our 2025 guide. And then, again, our expectation is what we would see R3 starting to grow. Yeah. And keep in mind that, you know, self-storage is local. And, you know, we continue to see bright spots in certain markets. And then, you know, in addition to that, our go-to-market strategy is focused around the more capitalized customer segments, which bodes well for the current climate.
Jeff Hammond: Okay. That's helpful. And then could you walk us through the key puts and takes on the margin line? Particularly, could you give us an update on expectations for price and maybe on that, how maybe some color on kind of how tariffs or factor into the outlook?
Anselm Wong: Sure. So price, I think, it's still the same assumption that we've had where on the storage piece of our business, it'll be high single digits. In terms of the storage piece, in terms of price, year over year. In terms of tariffs, as you guys know, the way we buy our steel, we usually have a six-month lag in terms of when we put the order in to when we get the steel. So if you think about this year, a big chunk of the year is already at prices of steel that we're call it, end of last year, beginning of this year. In terms of price point. In terms of tariffs, look, I think the steel producers are most likely gonna raise their prices. We don't see steel going out with steel going up, but ultimately, the demand the steel price is gonna be impacted by the overall demand of steel. So it'll be, you know, it'll be waiting to see in terms of seeing what really happens to that in terms of the actual street price when it actually happens.
Ramey Jackson: I think just to add to that, you know, I think the question is, you know, how well the domestic mills price their products? Will it be based on true supply and demand? Or will they accelerate the pricing based on the protectionism around the tariffs. So but what we do believe is, you know, steel will not be going down.
Jeff Hammond: Okay. Great. Thanks, guys.
Ramey Jackson: Thank you.
Operator: Our next question will come from Daniel Moore with CJS Securities.
Daniel Moore: Thank you. Good morning, Ramey. Good morning, Anselm. Appreciate the comments. Appreciate the comments around the cadence for H1 and H2 certainly makes sense. Just maybe more granularity, how should we think about kind of revenue and EBITDA for Q1 relative to what we saw in Q4 overall?
Anselm Wong: Think Anselm said margins up a little bit, but just holistically, we kind of think about that. Yeah. And what we kind of guided is a jump-up point. If you think of it, if you adjust for the one-timers in Q4, you get about a 19% kind of margin rate. The way we view it is that Q1 will be that as the jump-up point in sequentially increasing throughout the year as the cost, you know, benefits come through as well as just volume increases.
Daniel Moore: Got it. And any comments from kind of a top line where where we using Q4 as a jump-off point?
Anselm Wong: Yeah. It'll be probably the way we look at it. I think obviously, there was the pent-up demand that we talked about with the delays and that started to come through. I think if you look at it into Q1, it'll probably be going back to our normal seasonality. I just want to remember a reminder for this weather. And if you look at the weather, I mean, far in this quarter, you probably see a lot of, you know, that don't allow for construction as nicely. So there'll probably be that normal impact that we have some seasonality.
Daniel Moore: And then I guess just maybe one more, and I'll jump back in queue. But if you maybe just kind of delineate between the if you look at the midpoint of the revenue guide, how we think about kind of self-storage versus new construction, you know, on a year-over-year basis sounds like I mean, new construction starting to flatten out. We actually see that get back to growth in the back half of the year. And then, obviously, you gave good color on R3 versus new construction, so that's helpful.
Anselm Wong: Yeah. The way you should think about it, Dan, is that, obviously, first of all, the price commercial actions that we did will impact the absolute dollar amount. So you would see still decline year over year from an absolute dollar have you you would see probably what we're thinking about is new construction still slowly declining a little as R3 throughout the year grows again. And then but, again, impacted by price, so keep that in mind. And then commercial, which the other component of is that our thoughts are that that's kind of gotten to a bottom. We got a lot of good growth we're seeing in the rolling steel side of the house. We have the new Mount Airy locations that's helping that grow there. So our expectation is that we'll start seeing commercial getting back to growth as well.
Daniel Moore: Very helpful. I'll jump back with any follow-ups. Thanks.
Anselm Wong: Thanks, Dan.
Operator: Thank you. Our next question comes from John Lovallo with UBS.
John Lovallo: Good morning, guys. Thank you for taking my questions as well. Maybe just dovetailing off the last question there in terms of Q1. With the 19% jump-off point and, you know, some seasonality. I mean, how are things actually shaking out so far through the quarter? I mean, are you feeling like you're on track pretty consistently with those expectations? Or are you expecting, you know, a stronger kind of March to kind of catch up?
Anselm Wong: No. We're on track with the guide we have right now. So that's it's I think everything's moving along as expected. That we see right now.
John Lovallo: Okay. And then in terms of the buybacks, it seems like the pace may have slowed a bit. I think it looks like maybe $9 million in the fourth quarter versus something like $45 million in the third quarter. Despite the stock being lower. Any reason why you may have backed off a bit there?
Anselm Wong: It's just that we were just balancing kind of other uses of cash. You know, obviously, we still want to do M&A and there's some timing in what we're looking at there. That we just made sure that we had cash for that if it did happen. And then also just relooking at kind of some of this year-end CapEx that we needed for some of our equipment, but that's all it was there. Just the balance kind of uses of cash.
John Lovallo: Got it. And last one from my end. Have you guys noticed any changes in the competitive dynamics across your markets? Any of your competitors or, you know, capacity emerging over the past, call it, six months or, you know, maybe even twelve months?
Ramey Jackson: Yeah. Good question. There's certainly some smaller competitors that are more impacted by the current, you know, situation. Like I mentioned earlier, our go-to-market strategy is more around the capitalized customer segment. And theirs is the opposite, basically, the mom and pops that are on the sideline right now. So I think we're in a good position to gain a lot of market share in 2025.
John Lovallo: Thanks very much, guys.
Ramey Jackson: Thank you, John.
Operator: Thank you. Our next question comes from Phil Ng with Jefferies.
Phil Ng: Hey, guys. Congrats on a strong quarter.
Ramey Jackson: Thanks, Phil.
Phil Ng: The last few quarters, you talked about projects being paused on wait. Rates remain still pretty elevated. So just curious to get your update here. What are you seeing from perhaps, that customer group how are backlogs shaping up bidding activity and certainly on the conversion to orders as well?
Anselm Wong: Great question, Phil. And I think what we talked about is yeah. Interest rates are still high and the big thing we were trying to articulate was just the liquidity impact to our customers. So customers that are still well-capitalized they might not be able to do so many concurrent projects at the same time. So we just saw, you know, the movement finally in some of those projects that were being held up. Because they had finished a project and able to now add another project to it. So I think that's kind of what we started to see in Q4. And, you know, rates are obviously still high. So I don't necessarily see that them being able to add even more projects concurrently than what they can do.
Ramey Jackson: Yeah. In terms of the backlog, just happy to report that, you know, the backlog and the pipeline remains stable, and in addition to that, we're seeing actual growth in both of those metrics in our international business.
Phil Ng: Okay. Super. Guess a question for Anselm. If I heard you correctly, your expectation is still for call it high single-digit price declines for the storage side of things. So if we kind of parse that out and just look at volumes, I think your volumes were down almost 20% in Q3. It was down, like, mid-teens, fourth quarter. So when we think about the volume cadence through the year, you know, is it expected to be still pretty negative this first half and then some sort of recovery in the back half? Is that how we should think about it?
Anselm Wong: Yeah. That's what we're seeing right now. We just want to we're still cautious. It's still, you know, not the greatest conditions right there. So we're trying to be cautious about what we see. And, again, just a reminder, we really took a deep dive and look at all the projects in the pipeline right now in terms of timing and how they're flowing. What we're seeing is project timing is stretching a little more, so that's why we would expect to see some declines still in that first half and maybe a little going into Q3.
Phil Ng: Okay. That's helpful, Carl. And one last one for me. R3 was still pretty weak during the quarter. You kind of alluded to perhaps that team growth. I know you talked about I believe there's an opportunity for a large cost customer on the rebranding and conversion side of things. For a large R3 customer. Can you give us a little more color on how that's progressing, how that could contribute this year? And then where are conversions? Have you started seeing that bottom and when we look at 2025, does that turn positive or it's still kind of pretty soft here?
Anselm Wong: Yeah. Conversions are, you know, I we don't it's bottom pretty much where not seeing a big increase. There could be some in the back half, but right at this point, we're not seeing that. R3 work rebranding, I think there's gonna be more opportunities, not just for that one R3 because I think the environment is more open to more acquisitions from all the customers. So I think that's where we'll see more R3 rebranding work.
Phil Ng: Okay. Thank you.
Operator: Thank you. There are no additional questions at this time. I'd like to now turn it back to our presenters for any closing remarks.
Ramey Jackson: Okay. Thank you, everyone, for joining us today. We appreciate your support of Janus International Group, Inc. and look forward to updating you on our progress. Have a great day.
Operator: Thank you, ladies and gentlemen. This does conclude today's presentation. You may now disconnect.